Operator: Good day, ladies and gentlemen, and welcome to the Synchronoss Technologies, Inc., Third Quarter 2015 Conference Call. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. As a reminder this conference call is being recorded. I now introduce your host for today's conference, Karen Rosenberger, CFO. Please go ahead.
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Thank you. Good morning and welcome to the Synchronoss Technologies third quarter 2015 earnings call. We will be discussing the results announced in the press release issued before the market opened today. And I'd like to point out that we've also posted a presentation covering today's news on the Investor Relations portion of our website. I'm Karen Rosenberger, Chief Financial Officer of Synchronoss, and with me on the call is Steve Waldis, Founder and CEO. During the call we will make statements related to our business that may be considered forward-looking statements under Federal Securities Laws. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements reflect our current views regarding the future and are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risk and other important factors that could affect our actual results, please refer to those listed in our SEC filings, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q. With that, I will turn the call over to Steve. And then, I'll come back a bit later to provide some further details regarding our financials and forward-looking outlook. Steve?
Stephen G. Waldis - Chairman & Chief Executive Officer: Great. Thanks, Karen and thanks to everyone for joining us this morning. Synchronoss delivered strong revenue growth and profitability in the third quarter, which was consistent with our expectations. During the quarter we passed the $600 million annualized revenue run rate and did so while delivering over 20% top line growth with operating margins that were north of 25%. We believe the combination of these results puts us in a fairly unique company among technology and cloud service providers. And we are executing against the plans to take the company to over $1 billion in revenue and are taking steps to make great progress towards achieving this goal. Now to quickly summarize, our could business launched in 2011 was a majority of our revenue in the third quarter, exceed an annualized run rate of $300 million and grew over 30% for the quarter. The success of our cloud initiative has expanded our customer base, added a highly profitable revenue stream and demonstrated our ability to get into new markets and scale them fast. With exciting new wins in the Asia Pacific region and key implementations planned in 2016, we see newer opportunities to further grow our cloud business and add many more subscribers. And further, as I'll detail in a moment we made a strategic technology acquisition in the predictive analytics area that will help our operator customers increase both adoption and engagement of cloud subscribers. Our activation business continues to perform well as evidenced by its double digit growth, both in the quarter and for the year-to-date. And finally I want to update everyone on some exciting new initiatives that we've been working on for the better part of the past year. We announced last night, and I will detail later, the launch of our Enterprise business, including our strategic venture with Goldman Sachs. We believe our targeted expansion into the enterprise space opens up a new multi-billion dollar market opportunity for Synchronoss that will diversify our customer base. Now looking at the summary levels for the quarter, we generated a $151.3 million in total non-GAAP revenues, an increase of 21% year-over-year and 29% non-GAAP operating margin and a non-GAAP EPS of $0.58, which was up 26% on a year-over-year basis. Now let me provide some additional color on the quarter as well as the key long-term growth drivers that I highlighted a moment ago. Starting with our cloud service business, we grew a robust 31% year-over-year. And during the third quarter we saw strong results from our Verizon relationship, as their cloud services continued to be well received by their subscribers due to the superior user experience. We continue to believe there is meaningful room to expand our Verizon relationship, and let me make it perfectly clear that both Verizon and Synchronoss are very pleased with the business benefits and positive subscriber impacts resulting from our relationship. To this point we issued a press release during the quarter, in which both Verizon and Synchronoss reaffirmed the long-term nature of Verizon's commitment to the Synchronoss platform, Verizon's strong commitment to their cloud services strategy and Synchronoss' key role in enabling their success. Just this week we released the new version of our Verizon cloud with some new features for the first time, focused on driving increases in subscriber engagement. And we also continued to make good progress with our AT&T personal cloud offering. In Q2, we signed a two year deal with AT&T that covers the migration process from the current platform to a single integrated technology platform delivered by Synchronoss. We believe we remain on track to deploy the first generation of our personal cloud platform at AT&T during the first half of 2016 with more integration of features in the second half of the year, that we believe positions us to exit 2016 with a strong run rate on adoption as previously discussed. We also continue to see early progress with T-Mobile, which last quarter became a new customer on our personal cloud platform. As a reminder our relationship with T-Mobile began with the development of a Mobile Content Transfer offering. MCT is proving to be key driver of personal cloud adoption and we look forward to building on our success as we move forward. And we continue to gain attraction on some important international mobile operators. We recently announced that Synchronoss signed a master agreement to deploy its mobile content, transfer our Personal Cloud and Activation Services with Mobifone, one of the three major operators in Vietnam with approximately 42 million subscribers and we expect the services to be launched in mid-2016. And this agreement highlights Synchronoss' ability to integrate all of our core products at our customers from start to finish. In addition, with our recent win at SingTel and strong pipeline of opportunities we see good growth potential in Asia Pacific in the coming years. And we also have a number of international opportunities in the very early stages, including America Movil and British Telecom, both of which were F-Secure clients that are in the process of transitioning their integrated cloud platforms similar to the migration process that AT&T is undertaking. In addition to deploying customers and driving adoption we have been making additional investments helping our customers continue to drive higher levels of engagement. Later in the quarter we executed a strategic technology acquisition of privately held Razorsight, which I referenced earlier. The company's cloud-based analytics platform delivers predictive insights to help operators proactively and precisely target subscriber acquisition, cross sell those offers and improve subscriber retention. And given the massive amount of data that Synchronoss collects with, relative to subscriber acquisition upgrades, content transfers, user preferences and more, delivering an advance analytic solution to unlock the value of this data was a logical and strategic component of our roadmap. The acquisition of Razorsight accelerates our product roadmap and we see immediate opportunities, like with customers such as Verizon. Now let me turn to our Activation business. Solid transaction volumes from both our North America and international operators contributed to 11% growth in the quarter. This was particularly solid performance considering that the international activation deals I just mentioned closed a little bit later during the quarter. We are pleased to continue our expanding relationship with AT&T, adding a new channel supporting their Enterprise broadband activation and driving more connected car wins at both Land Rover and Jaguar. Now I would like to finish by providing more details on the announcements we made last night regarding our launch into the Enterprise. Specifically we are launching a new business that will directly support Enterprise clients, which will be led by David Schuette, an industry veteran serving large enterprise clients for over 20 years working for big companies like EMC and BusinessEdge. We announced our venture with Goldman Sachs, including contributing the IP on the development and deployment of the Synchronoss Secure Mobility Suite. Synchronoss will be integrating our workspace platform with Goldman's internally developed mobile security IP to provide the industry's first uncompromised way to safely and securely and easily support BYOD in a way that's not served in the market today. And introducing our Synchronoss Secure Mobility Suite, which includes the first set of integrated products direct to enterprise, Synchronoss Orbit, WorkSpace and the Lagoon platforms, landing Goldman Sachs as our first financial services customer as they deploy our end-to-end security mobility suite, in addition to landing our first customer relationship with a major health sciences company. And finally, forming a high-powered customer advisory committee to help steer our launch into enterprise that will have both the current and former executives from both Verizon, Goldman Sachs, Morgan Stanley and others. Now let me provide further detail on the Synchronoss Secure Mobility Suite. As many of you know Synchronoss WorkSpace is a device-agnostic mobile content management solution that ensures employees can freely think, share and collaborate without infringing on compliance responsibilities. The advanced mobility secure IP developed by Goldman Sachs, on the other hand, safeguards enterprise applications in a fine-grained security and authorization container. Now Synchronoss completed an exhaustive review of third-party vendors and it showed a lack of maturity on security capabilities. No vendor was able to address the enterprise-wide requirements for securing in a robust container manner productivity and mobile communication apps such as C-level document sharing. In light of that, Synchronoss decided to leverage the Goldman IP in combination of our WorkSpace IP to meet the needs in the BYOD environment and the industry that has highly sensitive information and is highly regulated. And we believe our ability to successfully satisfy the highest security standards for mobility in the financial markets will greatly aid our efforts as we move into other highly-regulated markets such as health sciences and pharmaceuticals. Now drawing in to the components of the Synchronoss Secure Mobility Suite that are contributed from Goldman Lagoon is a mobile app development platform which containerizes mobile apps with enhanced security and control. It provides a control framework to store data in a secure environment. It features jail break detection, ensures that all data in the container stays in the container. And Synchronoss Orbit provides personal information management functions like email, calendar and contacts and is built on the control framework provided by Lagoon. All the data rests in the container and transit to and from the container is protected by strong encryption with enterprise policy controls applied at every step of the way. Now from a go-to-market perspective, we will sell the Synchronoss Secure Mobility Suite to our current carrier customers as well for both their internal use, in addition to working with their enterprise sales teams, targeting the financial services, life science and healthcare verticals. Now in addition, as part of our 12-month to 24-month product roadmap, you'll see us developing packaged advanced mobility solutions on top of our platform that addresses a range of vertical specific-use cases which we believe will further differentiate our offering and value prop in the market. Now complementing our direct sales efforts, we already have in place multiple additional points of leverage. First, we expect our relationship with Goldman Sachs, as they will serve as a strong advocate and important reference in the financial services vertical. In addition, while we remain a significant majority owner of the venture, we have the ability to provide additional equity in the venture to bring in additional industry partners that are facing the same challenges and will advocate Synchronoss Secure Mobility Suite as a secure complete way to address these issues to potential new customers in the marketplace. Second, our carrier customers will directly benefit from having a broader Synchronoss solution footprint to sell to their enterprise customers. For example, the Vodafone Enterprise Group has already brought us into opportunities as part of their stack for fully outsourced mobile security solutions. And third, our strategic relationship with mobile operators around the world and our unique and differentiated ability to drive and embed our software directly on devices during the critical activation and setup process. This allows us to enhance security features of our solutions. Now enterprise strategy has been planned carefully over the course of the last year. We have evaluated the advanced mobility needs of the enterprise, how to leverage our existing assets and where we needed to expand our capabilities to deliver a differentiated and powerful value proposition. We have evaluated which protocols are the most applicable for our solutions and represent the biggest opportunities. We landed anchor clients, recruited enterprise focused executives and we are currently in talks with some of the best mobile security consultants in the industry that have a very high interest in distributing the security mobility suite. We believe we have a winning strategy to be successful on our enterprise initiative. Now in summary, there is a lot of positive developments to digest today, I am very encouraged by the company's execution against our strategic growth initiatives, excited about the expansion of our value proposition and market opportunities. We have a proven history of execution, launching and scaling new offers and leveraging technology acquisitions into something that is much bigger. With that, let me turn it over to Karen.
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Thanks, Steve and, good morning, everyone. As previously mentioned, Synchronoss delivered third quarter financial results that were consistent with our expectations across all key metrics. Starting with the review of the income statement, non-GAAP revenue was $151.3 million, up 21% on a year-over-year basis and consistent with our guidance. Our non-GAAP cloud services revenue was $76.1 million, which represented just over 50% of our total revenue and year-over-year growth of 31%. Our cloud business continues to perform well and is being driven by strong volumes at existing cloud customers such as Verizon in addition to strong early opportunities at our newer cloud customers. Our non-GAAP Activation Services revenue was $75.2 million for the third quarter, representing just under 50% of our total revenue and year-over-year growth of 11%. Breaking revenue down further, 73% of our third quarter non-GAAP revenue came from recurring sources, namely, transaction processing and subscription arrangements, while the other 27% came from non-recurring sources, namely, professional services and licenses. This is a relatively similar mix as recent quarters. Turning to costs and expenses we will review our numbers both on a GAAP and non-GAAP basis. A full reconciliation table between the two can be found in our earnings release which is located on the Investor Relations section of our website. Non-GAAP gross profit in the quarter was $92.1 million or gross margin of 61% consistent with the same quarter last year and down slightly compared to 62% last quarter, due to investments associated with some of the deployments discussed earlier. As we have said in the past, there will always be a certain amount of variability in our gross margins depending upon our mix of revenue and investments. Non-GAAP income from operations was $43.2 million in the third quarter, representing an operating margin of 29%, which is up 400 basis points on a year-over-year basis. Our non-GAAP EPS was $0.58, which was consistent with our guidance and represented year-over-year growth of 26%. On a GAAP basis, third quarter gross profit was $87.4 million, income from operations was $22.3 million and GAAP fully diluted earnings per share of $0.21. Of note our GAAP results include a $399,000 restructuring charge related to the integration of F-Secure's cloud assets and other corporate restructuring. As we complete our corporate restructuring efforts we will incur additional restructuring costs in the fourth quarter. For the first nine months of the year total restructuring costs were $5.1 million and we expect them to be within the $5 million to $6 million for the full year as discussed on our last conference call. Due to the one-time nature of this charge, it is excluded from our non-GAAP results. Moving on to the balance sheet and cash flows, total cash, cash equivalents and marketable securities were $227 million, down from $249 million as of June 30, due to using approximately $25 million in cash to acquire Razorsight during the third quarter. As part of the transaction Synchronoss could pay up to an additional $15 million if certain financial milestones are met by December 31, 2016. On a year-to-date basis, we've generated $64.6 million of operating cash flow, which is up 41% compared to $45.8 million over the same time period last year. As a reminder, non-GAAP cash from operations excludes the payments for additional purchase price for acquisition earn-outs and the excess tax benefit of exercising of stock options. Capital expenditures were $18.5 million for the third quarter or 12% of non-GAAP revenue, which is up 8% from last quarter but inline with our guidance of 10% to 13% for the full year. As a reminder, there will be quarter-to-quarter variability. However we expect our CapEx spend to trend lower over time as we recognize the efficiencies of moving towards a more virtualized software-centric model. Before I turn to guidance I would like to review the anticipated financial impacts we are expecting from both the acquisition of Razorsight as well as our entrance into the enterprise business market. In terms of Razorsight, we expect the revenue contribution to be immaterial in the fourth quarter as the primary focus of the acquisition was gaining their predictive analytics technology, which we'll integrate with our other solutions. We expect the acquisition will be neutral to our non-GAAP EPS during the fourth quarter. Looking at the enterprise business, given the need to initially invest in sales and marketing infrastructure as well as ongoing product development, we expect the new enterprise business will reduce our fourth quarter non-GAAP EPS by approximately $0.03. As we look ahead to 2016 we expect the level of quarterly dilution in the first quarter to be slightly higher than the fourth quarter, but our building subscription revenue stream is expected to narrow the level of quarterly dilutions such that we exit the year with our enterprise business having an approximately breakeven impact to our overall result. We will provide further perspective on the expected 2016 revenue contribution from our enterprise business initiative during our fourth quarter call, as we will be further along against execution of our plan. We believe we have the assets and strategy to build a significant enterprise business in the years ahead, but want to be prudent with respect to setting expectations given this is a new initiative. With that, let me turn to the guidance starting with the fourth quarter. For the fourth quarter, we are currently targeting non-GAAP revenues in the range of $153 million to $158 million, which represents year-over-year growth of approximately 17% to 20%. We expect non-GAAP gross margins will be 61% to 62%. Non-GAAP operating margins will be approximately 26% to 27%, taking into consideration the incremental investment in our enterprise business that I noted previously. And non-GAAP EPS will be approximately $0.56 to $0.60, assuming a tax rate of 34.4% and a diluted share count of approximately 47.9 million shares. Please note we have a slightly wider range for the fourth quarter compared to past quarters due to the variability associated with deployment to new geographic regions. While the mid to long-term opportunity is the same with these deployments, from a short-term perspective the timing, sourcing and complexity of these implementations could cause variability with respect to how much revenue is generated specifically in the fourth quarter. For the full year, based on our third quarter results and outlook for the fourth quarter, we are targeting our non-GAAP revenue guidance in the $500 million to – $575 million to $580 million range or growth of 26% at the midpoint of our guidance range. We have narrowed the high end of our guidance range by $2 million due primarily to the later than expected closing of international deals during the third quarter, as previously mentioned. Looking at profitability, we expect full year non-GAAP gross margins to be approximately 61% and non-GAAP operating margins to be approximately 28%. We expect non-GAAP EPS to be in the range of $2.17 to $2.22, down from our prior guidance of $2.22 to $2.26 due to the investments we'll be making in the enterprise business over the course of the fourth quarter. This assumes a tax rate of approximately 34.4% and a diluted share count of 47.7 million shares. In summary, Synchronoss delivered solid third quarter results. As we look ahead, our business is strong on both the cloud and activation side, domestically and internationally. And we are very excited about the long term potential of our newly launched enterprise business initiative. We believe we have a winning strategy based on partnering with industry leaders, leveraging our existing channels and delivering a differentiated product offering that addresses a top strategic priority. With that let me turn it back to the operator to begin our Q&A session.
Operator: Thank you. Our first question comes from Tom Roderick of Stifel. Your line is open.
Tom M. Roderick - Stifel, Nicolaus & Co., Inc.: Hi guys. Good morning. Steve, let me start with you, first question here, just kind of refreshing the Verizon relationship. And I know of course you guys sort of reaffirmed that relationship during the quarter. But obviously lot of controversy and discussion around that components of your story throughout the quarter. What are you seeing as that business progresses with what you're seeing out there in their initiatives? How you are growing? What gives you the confidence that this relationship is stronger today than it was a quarter ago and maybe you could specifically sort of address the moves they made with the Verizon plan to put a lower cap on free storage? What you think that means and how investors ought to look at what you're seeing with Verizon? Thanks.
Stephen G. Waldis - Chairman & Chief Executive Officer: So what's exciting to us now is the adoption rate continues to stay very strong. As I said early on, the overwhelming majority of customers that store their data is very – a few handful that go really over the 5-gig kind of threshold. And so when they look at the overall plans what's exciting is that all of their new offers, the cloud is really becoming a central point to all the different efforts that they are launching in the market today. So recently as you saw in this last quarter, we're now fully integrated in FiOS. So there is all new offers that are coming out that I'll let Verizon kind of announce when and where they will be out in the marketplace. But not only is the confidence around the adoption and the strength of the relationship, but we've now turned the corner to really increasing engagement within our existing base. And so we're excited today, there is a new version of the software that's out there that for the first time ever has features in there that are designed to increase subscriber engagement. Specifically we have a relationship with Photobucket and specifically videos with a partnership we have with RealNetworks that allows users to really create, store, create on the fly smart albums and be able to print those instantly from the app. So the commitment and strategy has never been stronger. Verizon obviously reaffirmed that with us during the last quarter and they're really seen as the market leader in many, many initiatives and this is just a cornerstone to a lot of the exciting things that they have going on over there.
Tom M. Roderick - Stifel, Nicolaus & Co., Inc.: Great, thanks. Turning to the Activation side, Karen, you had mentioned a couple of times and, Steve, I think you mentioned it as well, slightly later closings of some international business that leaves some uncertainty in the growth rate. Can you talk about what that sort of means for the business here in the fourth quarter, but not just fourth quarter also looking out to next year? It seems like these could be somewhat material deals that are building, but maybe give us a sense for what we ought to think about for professional services in the early days of implementation and what some of these deals might look like in size at maturity?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Okay. So as we had spoke about on the call, there were some areas, some business in the international, specifically in that Asia-Pac region that had closed a little bit later in the quarter than we had anticipated. Those deals clearly have a run rate to a much larger opportunity, longer term in nature, and typically we see professional services always as a component of most of those deals. So there will be deals that are pretty similar in nature to most of our ongoing deals with elements of professional services as well as transactional opportunities going forward.
Stephen G. Waldis - Chairman & Chief Executive Officer: To add a little color to that too as well, to Karen's point, Tom, all of the deals that we were looking for, we were excited that they came over the wall. It's a new region for us. So part of that is us building out the right staff under Chris Halbard's team to make sure that he is staffed properly in those regions to be able to deploy and get things into production that generate revenue dovetails on some of the newer wins or the biggest wins that we've had. But it's going to take us some time obviously between this last quarter and this coming quarter to make sure that we are in there, and that's the degree of variability.
Tom M. Roderick - Stifel, Nicolaus & Co., Inc.: Okay. Good. Last quick one from me, Steve, I think you had mentioned that Razorsight is a solution that you can use on maybe on both sides of the business, enterprise and the carrier customers. But I think specifically you mentioned that Verizon was interested in the solution. Is this something that can extend the nature of your Verizon relationship beyond just the cloud and how would we think about the timing of how that sort of happens?
Stephen G. Waldis - Chairman & Chief Executive Officer: Yeah. So it's very much part of what we've recognized as we try to speed both adoption and engagement was having an analytics component to our overall software is key. And so one of the points is that on a go-forward basis all of these new implementations that we spoke about from AT&T, America Movil and others will have the analytics component as we build that into our software because we believe that once we adopt, we want to increase engagement. Now the second part of your question is, absolutely, the opportunity and discussions, without getting into specifics, are much broader at Verizon say than the cloud business that we have today and so we absolutely see immediate opportunity to expand that relationship. And then the third fold of it, really which is the point that you brought in which is the enterprise component of it, in our discussions with partners like Goldman and other banks that we've been engaged in, the analytical component of it in with our Mobility Secure Suite is also a very value-added differentiator that we believe we'll be able to leverage the technology. So those three areas you've hit it right on the head, those we expect to expand those into all three of those areas of our business.
Tom M. Roderick - Stifel, Nicolaus & Co., Inc.: Got it. Thank you, guys, I appreciate it.
Operator: Thank you. Our next question comes from Michael Nemeroff of Credit Suisse. Your line is open.
Michael Nemeroff - Credit Suisse Securities (USA) LLC (Broker): Thanks for taking my questions. Steve, I just wanted to dig down into some of the new announcements that you made on the enterprise side of the business. Just looking out into the marketplace, clearly a need for these types of products. Who do you think or who do you view as the main competition? And based on from where I sit, it looks as if it would be Citrix and MobileIron. And maybe you could give us a sense for how your enterprise products or the new enterprise products compare and contrast to what's out there in the market and differentiate.
Stephen G. Waldis - Chairman & Chief Executive Officer: Yeah, it's a great question, Mike. So it's all of those and then some. I mean there is definitely a lot of folks in the market today. But when we studied it, nobody was really doing a good job of it. There is a real key decision point that we studied over the last year in terms of how to get our products and services, because what did we know. We know that we can scale very large and secure applications. The operators are known around the world for a bunch of things, but two that they always stress is their scale and their security. And when we looked at the market today, a lot of the solutions are either device-centric. And so you have make a choice. Do I want to make it really secure, which means for many of you on this call today, the experience is incredibly lousy, or do I want to make the experience very good, but the security is at a lapse. When we did that full analysis with WorkSpace and obviously working very closely with our folks at Goldman, this was the first opportunity where we found the really slick easy to use application that's actually more secure than anything we've seen in the market today. And on top of that, our belief was rather than having controlled environments where a lot of the software guys out there today are relying on the devices themselves and the IT shops, you saw some of the announcements that came out just recently a few months ago or a few weeks ago from JPMorgan where they are going to announce BYOD initiative across the whole enterprise. That's exactly the type of opportunity that we believe the suite will really be well designed to meet and we think the combination of ease of use with high security is a gap that's not being fulfilled today. We believe we are going to be successful in doing that. That was really the logic, Mike that went into why we really focused in on that area, because we saw a big need and a solution that we thought we had a real good answer for when you combine it with what we have done plus the IP from Goldman.
Michael Nemeroff - Credit Suisse Securities (USA) LLC (Broker): That's really helpful, Steve. Maybe you could just give us a little bit more granularity as to how many people you are planning on hiring in the near-term. How many sales people or feet on the street you are expecting to put? Give us a sense for what the targets are, both for this year and over the next couple of quarters, that would be helpful. And I assume that you will be able to share with us a little bit more about that side of the business versus the traditional carrier side given the large size of those contracts, the secrecy that you had dealing with those carriers.
Stephen G. Waldis - Chairman & Chief Executive Officer: That's correct, Mike. On the latter part, absolutely as we get more down the road here, as Karen indicated, we certainly would give more insight in terms of how that business will develop. We really have a three-fold approach. We are building a direct sales team under Dave. Dave's brought some leadership over from EMC, NetApp and others, so we've brought a real executive team. A portion of those individuals are on staff today, a portion of the sales teams from a direct perspective are going to be ramped up this quarter. I had mentioned on our call already, we already have an additional major health sciences enterprise, that's a customer now in the new enterprise initiative. So we are going to make some great strides going at it from a direct perspective. Secondly, the way we designed the venture was purposely to get a standard in the industry. We believe that if we can solve this for the financial services sector, it's going to be easy to apply this downstream, since the rigor and regulation is the highest in that sector. And so one of the things that we did as part of the venture set up was we are the majority owner. Goldman contributed the IP into the venture, and they have an equity position. There'll be other opportunities if we find other partners that may come in to the debenture that really believe that having this open standard, that's highly secure, easy to use, is beneficial for the industry. And so we intend to leverage that. Very similar to some of the other open models that you see on this space today, one that comes to mind in particular is another initiative not related to us, but with Goldman with Symphony in the business of secure messaging. So we see that as a second huge opportunity to get expansion up. And then lastly is, we've obviously been in discussion with some of the major security consulting firms that believe that the security suite is unique and it's something that's highly desirable from a distribution perspective. So we absolutely intent to leverage that channel aspect to our business. And then last but not least is the operators who have one of the – if you look at all of the -- some of the competitors that you mentioned in the field today, if you look at their filings, a big part of their distribution comes from carriers. Well, carriers have been our nature for 10 plus years. We've had some initial discussions with both Verizon and Vodafone. We have a Verizon executive that's joined our advisory board already. We're in discussions with folks at Vodafone. They believe there is a huge opportunity to distribute this product. So we really feel like over the last six months to nine months, we spent a lot of time thinking to not only what the product differentiator is Mike, but how we intent to go distribute this thing and get off the gates pretty strong.
Michael Nemeroff - Credit Suisse Securities (USA) LLC (Broker): That's great. Last one for Karen. Just on the percentage of transaction and subscription in the quarter, at 73%, when I compare that year-over-year it looks like there the growth rate on that transaction and subscription has decelerated to around 10%. I'm just curious – and the services license remains extremely strong. Should we – how should we be thinking about or what are the targets that you guys are looking at on the transaction and subscription side over the next couple of years? Is it 20 plus, 30 plus because it's been pretty high for last several quarters and this quarter was somewhat anomalous?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Yeah, so I mean if you think about our business model and how it's evolved over time, we feel pretty -- we stuck pretty steady with talking about the fact that our business model is made of 65% to 75% recurring streams of revenue with the balance from professional services and licenses. At this point in time you know we have been clearly staying on that 70% to 75% range. Haven't updated those targets, but you know don't anticipate seeing a material change in those, as we move forward. So I think if you look at the past several quarters this year we've been pretty steady in that low 70s percentage of recurring business and I think you know that's a good way to look at it moving forward.
Michael Nemeroff - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks Karen.
Operator: Thank you. Our next question comes from Amladi Nandan of Deutsche Bank. Your line is open.
Nandan G. Amladi - Deutsche Bank Securities, Inc.: Hi, good morning. Thanks for taking my question. So this new Enterprise segment, which segment will it be reported under and how do we track the progress? One of the big push back from investors has been the percentage of revenue you get from AT&T and Verizon together?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Yeah. I mean, as far as from a reporting perspective you know we were one business segment here. So as we talk about revenues from both cloud and activation on our earnings call we will continue to update everybody on the progress in the enterprise business as we move forward as well.
Nandan G. Amladi - Deutsche Bank Securities, Inc.: So no plan to provide any specific metrics or any sort of leading indicators for us to track?
Stephen G. Waldis - Chairman & Chief Executive Officer: Yeah, so I think Nandan, yes, the unit is new. I think as we entered the year and we especially as we set the target each year, like we do at Analyst Day, we broke out cloud and activation as that was a reliable metric. What we'll do is focus on a similar fashion, spend the time to analyze, what are the right metrics, what gives the right visibility to the business. But we absolutely intend to break that out, like we've done in the past with cloud and activation, what exact metrics we'll give and how will be dependent upon us making sure that what we do give that is consistent reliable and a good way for you to judge how the success of the business is happening.
Nandan G. Amladi - Deutsche Bank Securities, Inc.: And what's the revenue model for this new segment, new product family?
Stephen G. Waldis - Chairman & Chief Executive Officer: There will be – it's primarily subscription service. So will be licenses per user on a subscription base.
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Right, and there could be some elements of professional services in that business as well, it's typical, I mean similar to our core business.
Nandan G. Amladi - Deutsche Bank Securities, Inc.: Okay, great. Thank you.
Stephen G. Waldis - Chairman & Chief Executive Officer: Thanks, Nandan.
Operator: Thank you. Our next question comes from Sterling Auty of JPMorgan. Your line is open. h: Yeah, thanks. Actually I wanted to start with – going back to the questioning, Karen around the activation revenue impact on the fourth quarter. I guess it wasn't clear, were you trying to say that since the deals were signed late, the timing of when the professional services engagement part of that begins is later in the fourth quarter. So you don't get as much revenue contribution to the fourth quarter?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: As far as the activation revenues or the overall business, some of the wins in that Asia Pacific region happened later in the quarter. So there are deployments, investments that were made in the quarter necessary for those deployments. Some of those – some of that revenue streamed over starting at the end – very end of the third quarter and will continue into the fourth quarter.
Stephen G. Waldis - Chairman & Chief Executive Officer: Just as a clarity point, Sterling, it's services and then there is a transaction element...
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Correct.
Stephen G. Waldis - Chairman & Chief Executive Officer: ...once it's in production. So if you, the timing of when those transactions start to occur, depending whether that crosses over or not, all of those accounts that we had been anticipating did come in.
Sterling Auty - JPMorgan Securities LLC: But when you talked about signing later in the quarter, later in which quarter, in this – later in the September quarter or later in the December?
Stephen G. Waldis - Chairman & Chief Executive Officer: September.
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: In September quarter.
Stephen G. Waldis - Chairman & Chief Executive Officer: September quarter. So once you signed them you then have the service element to your point. Then that service element's designed to do what, put it in production and drive transaction volume. And so those are timing things that created the variability that we gave also in Q4. As we work on top of it in a new geographic region.
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Correct.
Sterling Auty - JPMorgan Securities LLC: I got you. But I guess, where I am still confused is, if you guys signed before the start of the December quarter why is that causing – unless I mishearing or misunderstanding it sounds like the December revenue could have been higher if you signed those deals earlier. Is that what you were saying? Or am I misunderstanding that point?
Stephen G. Waldis - Chairman & Chief Executive Officer: So that point one is yes and then point two is, as you deploy we are also dependent upon working with the IT groups of the major carriers. So we need to sync with those guys to make sure that they are ready to handle what we – what we do as a team and then put in the production that drives volume. So it has an impact of being able to get material some of the revenue in Q3 and then obviously now in Q4 you've got the deals in, but you've got the implementation risk to make sure that you've got these guys all lined up, not just from a service side of it but also when the service site goes in you could start realizing that transaction revenue.
Sterling Auty - JPMorgan Securities LLC: Got you. Got you. And then when you look at the fourth quarter, I know you guys kind of give the full year outlook, but I still feel like some of the confusion when you go quarter-by-quarter through the year, is that, you never really kind of update your cloud versus activation guidance. Is there any sense, now that you are down to the last quarter you have given us the guidance for the revenue for the full year and for the fourth quarter. Any sense on what the cloud versus activation split you are expecting here in December looks like?
Stephen G. Waldis - Chairman & Chief Executive Officer: We haven't – typically it's something as the business has got more mature, Sterling, almost like the question earlier on the enterprise side, we haven't broken out. It's something that we are under consideration to look at next year where we typically, to your point, only give it out once a year at the Analyst Day, whether that's something that as these implementations are more mature and more widespread that we could give you better insight.
Sterling Auty - JPMorgan Securities LLC: That would be great. Because I think it would reduce some of the noise around the stock. On the enterprise venture, just in terms of the accounting for it. I know you said you are going to break it out like activation and cloud. But in terms of how it's going to look through the income statement, since you're the majority owner I'm assuming you are going to consolidate it fully and then break out a minority interest that you don't own below the net income line, is that how we should think about it?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: That's correct.
Sterling Auty - JPMorgan Securities LLC: And is there actually a percentage ownership that you can disclose at this point or will be disclosed in the filings and was there any kind of equity investment that was needed in the formation of the JV?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Right now we are not disclosing the terms of the venture with Goldman Sachs.
Stephen G. Waldis - Chairman & Chief Executive Officer: And there was no, just to be clarity that there was an IP that both Synchronoss and Goldman gave to the new venture and that, the consideration that Goldman got was an equity, minority equity position in it. But we haven't disclosed and don't intend to disclose the specific details of the equity arrangement.
Sterling Auty - JPMorgan Securities LLC: And last question, you mentioned the deals, one with AT&T and T-Mobile. Just from a high level, how should we think about the magnitude of these and how some of the other new service providers are ramping? Is that enough to reaccelerate cloud growth or just kind of extend the kind of growth rates that you have been seeing?
Stephen G. Waldis - Chairman & Chief Executive Officer: I think that we have enough cloud deployments, Sterling, it's a great question, to feel comfortable that we can maintain what we believe to be good growth rates. If these end up materializing quicker, because of the adoption rate shoot up, which we believe has the capability, but not guarantee in any of the accounts, then we have an opportunity to do better than that. We're certainly very excited about the AT&T opportunity. That's coming together better than we had anticipated. So we are consolidated. We're on track there. The ability to map kind of some plans, I'll let AT&T address kind of what their thoughts are next year. But those are coming together nicely. And then on top of it some of the wins that we picked up in F-Secure and their ability to put them on our platform and those customers getting more excited about what we can bring to them, specifically accounts like America Movil and British Telecom, are other areas that we feel very strong with. So we take that combined with some of our wins directly in Vietnam and others, we feel like we've got enough good opportunities in front of us to the extent that we can move the adoption curve as we saw in Verizon, it takes a little bit of time and then we could do better.
Sterling Auty - JPMorgan Securities LLC: All right. Thank you, guys.
Operator: Thank you. Our next question comes from Gray Powell of Wells Fargo. Your line is open.
Gray W. Powell - Wells Fargo Securities LLC: Good morning. Thanks for taking the question. Just a couple, if I may. In some of my conversations, I feel like investors discount Latin America. I mean, how should we think of the potential to ramp with a company like America Movil on the cloud side? Specifically I think they have 62 million postpaid customers, their ARPU is probably around $35 a month. Should we think of the pace of that ramp as something similar to Verizon or would it be more of a country-by-country basis like what you've seen with Vodafone?
Stephen G. Waldis - Chairman & Chief Executive Officer: I think that the bigger countries that Movil has in those markets are definitely engaged in. And so I would look at it more as if their thinking this more of a unified deployment. So one of the things that we're excited about is they were kind of in the middle of trying to get aggressive with F-Secure when we did the acquisition. So we've had to work with them to get them to move over to the new platform, which they're doing. But they've got some pretty ambitious plans on a go-forward basis. And you're right, Gray, that the opportunity, I pointed those out specifically because they are already believers in it. They've got some plans that they want to go market with. And right now we're in the process working as fast as we can to get them migrated over to our platform and then obviously the new features that we have to offer them.
Gray W. Powell - Wells Fargo Securities LLC: Got it. Okay. Then just to kind of help you frame it up, what would you say the stage of discussion is there relative to AT&T?
Stephen G. Waldis - Chairman & Chief Executive Officer: We are very similar in terms of what the game plan would be from an implementation schedule. It's actually something that we would expect to make good progress on in 2016. So I don't know if it's exact, but within a quarter or two we feel like they're almost – it's a great analogy, they're probably very parallel paths in terms of where they are in the process.
Gray W. Powell - Wells Fargo Securities LLC: Okay. That's really helpful. And then just one more question, how should we think about the CapEx and free cash flow profile as your new cloud customers are brought in on third-party cloud platforms like AWS or HP or Azure, whatever it is you're using, and should there be any material difference between CapEx and depreciation going forward?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: As far as from a CapEx perspective, we plan on sticking in that 10% to 13%. Clearly the variability there would be if a customer comes on and absolutely wants us to take on the hosting and data center CapEx associated with that. But going forward, I would say our longer-term model takes into consideration moving to a software-centric model and I don't see any reason why there would be any change to that.
Gray W. Powell - Wells Fargo Securities LLC: Got it. Okay. Thank you very much.
Stephen G. Waldis - Chairman & Chief Executive Officer: Thanks, Greg.
Operator: Thank you. Our next question comes from Tavis McCourt of Raymond James. Your line is open.
Tavis C. McCourt - Raymond James & Associates, Inc.: Hey guys, thanks for taking my question. First, a quick one on the Razorsight acquisition, if it's immaterial to revenues and earnings, how many employees are you actually bringing over and is it IP that you are buying there, maybe a little clarification...
Stephen G. Waldis - Chairman & Chief Executive Officer: Sure, very few employees. It's the IP, there is a couple but not many.
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: Right.
Tavis C. McCourt - Raymond James & Associates, Inc.: Got you. And then, Karen, I want to make sure I kind of understood your last answer there. So your going-forward assumption is that the cloud partners that – or customers that you will be ramping from this point forward will be in a virtualized environment unless they specifically request otherwise?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: That's correct.
Tavis C. McCourt - Raymond James & Associates, Inc.: Okay. And then the last question is on the Enterprise JV or venture. So how is that going to work if we start engaging the carriers as a channel, Steve. So I mean, in our view Synchronoss brings a lot more to the table if the carriers get engaged in a big way than they do if Synchronoss is just building a direct sales force?
Stephen G. Waldis - Chairman & Chief Executive Officer: So you sum – I will make sure, I understand the question Tavis. So we would intend to do both. We are going to have channels which the carriers will be a portion of will have our direct sales force with them. There will be certain solutions stacks that they are looking to embed us in. I think out of the gate we've been surprised at how aggressive some of them have come back to us in terms of some real opportunities that we're engaged in right now, in regards to how they might see this applying in the market given that we've been working on this for sometime. So I think that today these guys are out distributing a lot of products in this space to do similar things. I think that the way this is designed up and our unique position with these operators and being able to do special things such as set-up and activation and different things that we do for them put us in a good position.
Tavis C. McCourt - Raymond James & Associates, Inc.: Yeah. So I guess my question was kind of just more technical around the ownership structure. So today when Vodafone is selling WorkSpace, 100% of that benefits Synchronoss shareholders. Tomorrow if they change that into a relationship with this new venture it's partially benefiting Goldman Sachs shareholders today, and potentially others down the road. So I mean I guess how are you – is that how it works or will there be some kind of split between the venture and the Synchronoss...?
Stephen G. Waldis - Chairman & Chief Executive Officer: I would say, yes.
Tavis C. McCourt - Raymond James & Associates, Inc.: ...carriers, because it seems like you mentioned as the JVs is kind of you contributed some IP, Goldman contributed some IP, but I would argue Synchronoss brings meaningful carriers relationships that have value too, are Synchronoss shareholders are getting a part of that venture for that?
Stephen G. Waldis - Chairman & Chief Executive Officer: That's right, which is why we're, without getting specific on numbers the majority owner by far in the venture. I would say also that in our relationship in creating a standard that overtime will be the primary benefit, but to your point, our partners will as well. But our partners will help us accelerate into the market quicker and obviously the cost as we gave you kind of an idea, there is a lot of companies spending a lot more money to try to get the results that we know we can get based on these relationships that we established out of the gate. And then again, without getting into specifics the venture was setup in a way that over time based upon targets that are met, there are buyout provisions that are in place. So that we would envision a day in which our partners at Goldman established a good return and that Synchronoss itself and its shareholders greatly benefited in time-to-market, reduction in cost and really capturing a huge market in a very quick way.
Tavis C. McCourt - Raymond James & Associates, Inc.: Great, thanks. And then Karen one final one for you, on the 10% to 13% CapEx range, how much of that is supporting Verizon and the previous cloud ramp that are more hardware centric?
Karen L. Rosenberger - Chief Financial Officer, Treasurer & Executive VP: So we haven't given the specific breakout on the CapEx and which customers X percent of the CapEx spend represents. But clearly what we have always talked about in the past is that cloud, the CapEx is primarily – significantly attributable to the growth in the cloud business.
Tavis C. McCourt - Raymond James & Associates, Inc.: Okay, thanks.
Operator: Thank you. Our next question comes from Greg Burns from Sidoti & Company. Your line is open.
Greg J. Burns - Sidoti & Co. LLC: So the question on Mobifone, in terms of the $80 million in revenue you are kind of targeting over three years, what's the percentage mix between cloud and activation, and how should we think about that, that $80 million, how will that we recognized over I guess the course of the contract?
Stephen G. Waldis - Chairman & Chief Executive Officer: So Greg, good question. We haven't broken out the specifics, but there is big activation component to it, with cloud. As I mentioned earlier, they really bought the whole suite and so that will ramp over a period of time. We would see that the activation revenues obviously would come in probably first, as cloud takes little time to implement. But overtime without getting specific, they do have both, both have meaningful revenue streams.
Greg J. Burns - Sidoti & Co. LLC: Okay. Thank you.
Operator: Thank you. I'm not showing any further questions in queue. I'd like to turn the call back over to management for any further remarks.
Stephen G. Waldis - Chairman & Chief Executive Officer: Great. We thank everybody for joining us on our Q3 2015 earnings call. We look forward to talking to all of you soon.